Operator: Good afternoon, ladies and gentlemen, and welcome to the presentation of the BNP Paribas First Quarter 2025 results with Jean-Laurent Bonnafe, Group Chief Executive Officer; and Lars Machenil, Group Chief Financial Officer. For your information, this conference call is being recorded. Supporting slides are available on BNP Paribas IR website, invest.bnpparibas.com. [Operator Instructions] I would like now to hand the call over to Jean-Laurent Bonnafe, Group Chief Executive Officer. Please go ahead, sir.
Jean-Laurent Bonnafe: Good afternoon, ladies and gentlemen. We are pleased to present a summary of our strong first quarter results and to have the opportunity to reiterate our '24-'26 trajectory. But before I start, let me provide a brief commentary on the current environment. Of course, we acknowledge elevated uncertainties in the markets and the economic environment but the best way to face them is to be ready, first, to support our clients. And in that respect, our focusing on high-quality customers and our readiness to help them redirect or adjust their investment plans is our top priority. Ready to monitor our risk. Credit and market risks are monitored very closely, and we still have S1 and 2 provision to help absorb some of the deterioration should it materialize. And of note, investment-grade clients represent 78% of our credit exposure. Ready also to grasp investment opportunities. The first quarter marked an acceleration in funding commitments by European governments. What is new is the wake-up call for Europe, the German EUR 1 trillion to EUR 1.5 trillion investment plan and the EU EUR 800 billion readiness program are just first steps. Finally, we need to capitalize on the likely changes to come in the European capital markets, including SIU. We advocate with European authorities to ensure a level playing field, particularly with regard to the FRTB, and we're already ready, thanks to our originate-to-distribute platform and SRT capabilities to accelerate the financing of Europe investment needs in a capital-light way. So now let me turn to our results. Moving to Slide 4. Our revenues are up 3.8% this quarter with our operating divisions up 6.1%, in line with the trajectory we set for '26. During the quarter, CIB posted an impressive 12.5% revenue growth including more than 17% at global markets. It was a record quarter for the division. CPBS was up 1.2% despite lower used car sale results at Arval, which are in line with our trajectory. The quarter confirmed the gradual inflection at our Eurozone commercial banks, which are up 1% year-on-year but also a strong 19% increase at Euro-Med, thanks to a much-improved performance in Turkey and Poland. Finally, IPS posted a strong 6.6% growth, particularly driven by Wealth Management and Insurance. Our commitment to cost control remains strong, and we're on track to deliver cost savings of EUR 600 million this year with EUR 190 million of cost savings already implemented in Q1. Our cost of risk remains moderate at 33 bps, marginally up on the first quarter of 24%, but still well below our guidance of below 40 bps. Our Stage 3 provisions are stable year-on-year but '24 benefit from releases. Overall, operating divisions generated positive jaws effect of 1.9 points and an operating income growth of 6.7%, very close to our group net income growth target of 7% CAGR. All in all, our net profit was down 4.9% without compromising our trajectory of profitability. The gap between the operating income of the division and the net profit is explained by higher positive exceptional last year and the lower contribution from the Corporate Center this quarter, which will be rebalanced before year-end starting with the second quarter. As a reminder, last year's first quarter benefited from high positive exceptional elements, mostly the EUR 226 million benefit from the reconsolidation in Ukraine. Our CET1 is down 50 bps quarter-on-quarter to 12.4%, but is stable compared with the January 1, reflecting finalization of Basel IV 50 bps. This is in line with what we guided for. Finally, we obviously confirm our policy distribution of 60%. We have already received the approval for our share buyback program of EUR 1 billion, and we will launch it in the second quarter. Moving now to Slide 5 on our growth trajectory. Of course, we acknowledge the scale of the challenges relating to U.S. tariffs and policy shifts, Nonetheless, in this context, we believe that our diversified model and the growth levers we've implemented will elevate us to meet our targets. So ambition remains to reach a return on tangible equity of 11.5% in '25, 12% in '26, leading to more than 7% group net income growth CAGR and more precisely, our internal target for '25 is currently much higher than current market expectation. This should result in more than 8% EPS growth CAGR. Our '26 return on tangible equity is only a step-stone towards further improvement. Our targets will be achieved, thanks to 5 key levers that you should have in mind. Starting with CIB, we will continue to grow market shares in a capital-conscious manner, thanks to our state-of-the-art CIB platforms that are uniquely positioned to deliver the highest added value products to clients. Moving to CPBS. We launched a new strategic plan for CPBS and extended the one for Personal Finance. We intend to lift the return on notional equity of these businesses to a minimum of 17% by '28, adding about 1 percentage point to group return on tangible equity, and we will present these plans in 2 deep dive sessions in June. Our revenues in the Eurozone commercial banks should also benefit from normalization of the yield curve. We will prioritize protecting commercial margins in competitive market environments. We expect the second half of this year to show a pronounced rebound of NII. Moving to IPS. We will continue the dynamic organic growth of Insurance, Asset Management and Wealth Management. This organic growth will be amplified by the acquisitions of HSBC Wealth Management in Germany. And of course, AXA IM. Finally, we will continue our efficiency efforts with EUR 600 additional cost savings in both '25 and '26. On Slide 6, you can see our position. We believe that our revenue trajectory for '24-'26 is underpinned by the growth levers just detailed. Some of those levers are self-created such as AXA IM and the recovery of NII in the Eurozone, but also thanks to significant cross-selling between our businesses, which account for 1/3 of our total revenues. Our trajectory should also benefit from the acceleration of investment spending by European governments and the private sector to fund the significant investments we all know Europe needs in infrastructure, energy transition and defense to name a few. The German growth plant voted in March and Europe's readiness program represents significant amounts of around EUR 2 trillion, which should contribute to buffer GDP growth and trigger significant borrowing that we can facilitate, thanks to our originate-to-distribute model. All in all, we remain confident in our ability to deliver CAGR revenue growth of more than 5% by '26, including external growth. Let me now move to our resilient profile throughout the cycle. A diversified profile, both in terms of sectors, geographies and business lines enables us to find the right balance between growing distribution to shareholders and growing our tangible net asset value per share. This, of course, fuels our organic and external growth. We continue to benefit from a low credit and market risk profitably -- profile and a key feature of our DNA. You can see that our cost of risk remains low and absorbs only 16% of our gross operating income. One of the main reasons for this is our very granular sector diversification with no sector accounting for more than 4% of our overall exposures. Our selective origination also ensures we are basically exposed to the most resilient corporates. I'll now hand over to Lars who will remind you of the achievements of the quarter.
Lars Machenil: Thanks, Jean-Laurent. On Slide 11, you can see that the first quarter of 2025 was driven by solid business performances within each division. You will have noticed in our slide this morning that we introduced the summary dashboard for each of our operating divisions, so you can analyze in a more straightforward way our operational performance. So overall, group revenues were up 3.8% year-on-year, including 6.1% step-up for our operating divisions. If we look at them, for example, starting with CIB, as mentioned by Jean-Laurent, it had a record quarter, up 12.5% year-on-year, driven by a very good performance in all 3 sub-businesses. If we look at them first, at Global Banking, it was up 4.5%, supported by capital markets. Transaction Banking showed dynamism as volumes managed to offset the impact of lower rates. If we then look at Global Markets, activities were up 17.3%, driven by a very strong 42% growth in equity and prime services and a robust performance for FICC, which was up 4.4% and particularly driven by macro, particularly foreign exchange. Rates benefited from modest growth and credit was down as the primary activity did not offset weaker credit trading flows. The third, Security Services was up 13.4%, driven by a sustained growth in fees, thanks to balances and transactions as well as resilient interest margin. If then we turn to the second division, CPBS, it had a resilient performance, up 1.2%, supported by commercial and personal banking activities. If we look at it, a few points are worth highlighting. If we look at our commercial banks, they were up 4.2% this quarter, consistent with our trajectory for the next 2 years and supported in particular by solid fee growth. Within this commercial banking concept, we have also the commercial banks in the Eurozone. They grew 0.6%, which is consistent with our trajectory of 3% growth over the year. Let me clarify, because on one hand, the positive impact of higher rates will accelerate in the second half of 2025 as the lag from deposit mix tapers off. So from site deposited into paying deposits, it's tapering off. Moreover, the ECB rate environment should be supportive of stabilizing this deposit mix. And moreover, the shape of the yield curve should enable us to continue our reinvestment on the long end of the curve with the progressive net interest income rebound. Furthermore, fee growth was strong at around 5% in all Eurozone banks, including a strong performance in financial fees. Then the other part within that division is Euro-Med, where the revenues were up for 19%. This is due to the margin improvement in Poland and Turkey as well as fees, particularly in payments in Turkey. Of course, the environment in Turkey going forward might be less favorable due to the slower decrease in interest rates. So that is the commercial banking section of CPBS. If we now turn to the second part, specialized businesses. They were down 3.6% year-on-year, impacted by the ongoing normalization of used car prices as we have flagged previously. Organically, Arval performed extremely well again this quarter, up 12% even when excluding a positive one-off of around EUR 50 million. So outperforming our guidance of more than 10% in growth this year. This growth, P&L growth is supported by fleet growth of 5% and outstandings of 14%. The other part in specialized businesses is personal finance core. I remind you that the noncore part, which is basically ramping off, is in Corporate Center. And so the financial -- Personal Finance core is driven by a solid commercial performance. Let me name some examples, the deployment of Apple partnership in France, the regular progression of the B2C, the good performance of mobility, especially in the partnership with Stellantis. There is also an increased margin at production, so at Personal Finance, with the main effect coming from repricing, which should lead to acceleration of revenues throughout the year. Last, a very good performance from the new digital businesses and personal investors, up an organic 13% this quarter, thanks to further growth in client acquisition as well as a high level of transactions. But note, the disposal of an activity in the fourth quarter 2024, which impacts both the revenues and cost this quarter. So these are 2 of the 3 divisions. So let's end with the third one, not the least, it's IPS. So we saw strong growth in fees, thanks to a high level of transactions. If we look at assets under management, they were boosted by strong inflows but were impacted by negative ForEx and towards the end of the quarter, lower market levels. IPS is about to become an even more sizable driver of our growth with the acquisition of AXA IM, which we expect to close early July. Now if you look at the division suite in IPS, Insurance revenues were up 4%, particularly by healthy savings activities in France. Then Wealth Management was up nearly 11% on strong fee growth, and Asset Management was up 6%, thanks to good fee growth and good performance of financial investments. Let me add a comment next to those 3 divisions on the Corporate Center, basically complementing what Jean-Laurent said, it was impacted the quarter by the valuation of a few items at fair value. But nevertheless, we do not change our guidance for the Corporate Center of revenues close to 0, excluding IFRS 17, as Jean-Laurent mentioned. If with this, we turn to Slide 12 which shows that our cost discipline is paying off. At the group level, the jaws are very slightly negative this quarter, but stand at 1.9 points at the level of our operating divisions and are consistent with our stated trajectory running into 2026. We continue to allocate cost growth to fund development, while we intend to continue to offset inflation by cost savings. If we look at the divisions, CIB reported positive jaws of 4.4 points, which was driven mainly by increased activity. I remind you that global markets had significant accrual of variable compensation, which basically reflects the business momentum. CPBS posted negative jaws of 0.7 points. This includes positive jaws effect at personal finance, leasing and new businesses and personal investors. So it's basically, Arval. We also highlighted the positive jaws about 1 point at the commercial banks in the Eurozone. Finally, IPS positive jaws, 3.9 points. So with this, if we go to Slide 13, which focus our cost savings and efficiency measures. This quarter, we implemented EUR 190 million of new cost savings, consistent even ahead a bit of our full target, which was EUR 600 million to offset the inflation. If with this, we turn to Slide 14, where I focus on our excellent risk management. And on this slide, you can see that our diversified balance sheet enables us to protect profitability. Once again, in the first quarter, only 16% of our gross operating income, so revenues minus costs, was absorbed by provisions. Our cost of risk remains low, 33 basis points, up on the first quarter of 2024, but still at a low level and well below our guidance of being below 40 basis points. It is mostly the cost of risk composed of Stage 3 loans with limited releases this quarter. Overall, our stock of Stage 1 and 2 provisions is comfortable at above EUR 4 billion, equivalent to more than a year worth of current Stage 3 run rate. By division, we note particularly low level at BNL and a normalized being at low level in Global Banking. Despite the increase in Personal Finance, we continue to see a positive mix that supports our structural improvement going forward. Let me now address capital management on Slide 16. Our common equity Tier 1 is down 50 basis points, clocking in at 12.4% due to the finalization of Basel and is stable versus January 1. So the impact of the 50 basis points of the finalization of Basel happened in the night of the 31st to the 1st. So within the quarter itself, it's basically stable. And so this figure is fully loaded, but before FRTB. So if you look at the drivers, basically, we have the typical organic capital, and this organic capital is after setting aside a generous 60% for the distribution that organic capital leads to 10 basis points. This quarter, it was offset by the impact of model updates typically that we do every year, and this is in line also with our guidance. And so our CET1 remains comfortably above our SREP requirement and is above our 12.3% target before FRTB. If with this, I rapidly skim through the remaining slides. If I look at Slide 20 and 21, you see the track record of our CIB division, reaching a record level this quarter. The key message I want you to take away today is that our CIB is stronger than it ever was and is well positioned with corporate and institutional clients to face the challenges and opportunities that today's environment represents. Our capital, cost and risk discipline are key assets to ensure a sustainable shareholder value growth. If with this, we move to Slide 22, 23, so CPBS. First, as we indicated last quarter, we are working hard to improve the divisions not delivering adequate returns. More color will be provided during 2 deep dives that will take place in June. Secondly, you'll see that the deposit evolution and the anticipated yield curve underpin our top line outlook for CBPS this year. And so finally, if I can ask you to look at Slides 24, 25 on IPS. This division will represent the biggest growth driver for the group in the next few years, and we are looking forward to completing in early July, the AXA IM deal. I remind you a deal which is both strategically and industrially very, very important. As you would have seen recently, the ECB has communicated its interpretation of the prudential treatment concerning deals with asset managers independent if they belong to insurance activities. If the stance by the SSM were to prevail, the impact on our common equity Tier 1 would be slightly higher than the expected 25 basis points and would gravitate to 35 basis points. And we will finalize these numbers in July after the closing while we do the PPA. But one should know that the AXA deal that we have signed consists actually of 2 different items. On one hand, it consists of a long-term contract with AXA and on the other hand, the acquisition of AXA IM. And they required a different handling and our read of that handling is that the common equity Tier 1 impact will not be 25, but would, in that case, be 35. But this evolution would not endanger our capital or profitability trajectories. The expected return on invested capital would be, in any case, significant at 14% in 2028 and above 20% in '29. So if the 35 basis points would prevail, it would basically delay the full savings by a year. As we said, we will provide more details on the synergies later in the year. So in either case, the strategic appeal of this transaction and the positioning it will have on long-term savings solutions make this acquisition a cornerstone for IPS and our ambition to increase the share of earnings from this division to 20% medium term, so 20% of the overall bank, and 25% longer term. So with this, I think I've highlighted most of the things. I'll now hand it back to Jean-Laurent.
Jean-Laurent Bonnafe: Thank you, Lars.
Operator: [Operator Instructions] First question is from Tarik El Mejjad, Bank of America.
Tarik El Mejjad: Two questions from my side, please. First, on the Saving Investment Union or Capital Markets Union. It's clearly a center to your medium- and long-term story. I published quite a lot on this topic, but I must admit I get a lot of pushback on this. So it always sounds -- I mean, it sounds interesting, clearly game changers to your profitability. But it will be really interested to hear from you this time -- why do you think this time is different? Why despite the clear EU member state will progress that project once we get into the details of securitization, prudential impact and so on, regulation and taxes and why would you think that there will be still a consensus that would emerge? Linked to that, could you start to put some numbers on the building blocks for the RoTE going to '28? Or another way, are you actually doing an update on your '28 targets by -- within this year? And then the second question was on Danish Compromise. I have two questions here. Just to be clear, have you received a notification from the ECB specific to the treatment of Danish Compromise for your deal, AXA IM and BNP Cardif or was it just the interpretation of what has publicly said by Claudia Bayod? And then second one, if you can help me understand the -- how you get to only 10 basis points benefit from Danish Compromise? In my estimation, it's more 40 to 50 difference between the 2 methodologies. But I must admit, I don't have all the data to do the calculation outside.
Lars Machenil: Tarik, thank you for your questions. If I take them one at a time. So on the SIU. I agree with you. I mean before it was called SIU, it was basically Capital Markets Union and all these things. And it has been in doing for several years. Now I observe a change. Since the change that has been happening and particularly in the U.S., whenever I pick up the words used by the commission, they are now working on a very tangible kind of approach. So this is what we see. We see them working on the kind of evolution. So tangible things on how to have more capital flowing in, how it can be redeployed, how it can be redeployed at the European level instead of country-by-country basis. So that's what they're working on. I agree with you that, that is the commission. It has then to go through the parliament and to the council. So that is why it can take time. So that is why we have said it's probably in the wave '28-'30, where we will see it. Talking about that, listen, we are not giving an update. We have said that we are working on a plan to '26, where we will get to 12%. Then we have an ambition to go to '26, basically with the changes we are doing on Personal Finance, on [ BCF ] and what we're doing with AXA IM. And that our ambition, if you look at what is it doing today, that could lead to an improvement of saying one point, but that is just an orientation. It's not an update on our ambition. And when it comes to Danish Compromise. So Danish Compromise as you know, so we consider it the deal to be insurance. So it's AXA insurance to Cardif insurance, it's insurance to insurance deal. And so that basically means that insurance regulation would continue to apply. And so we're having discussions with the ECB, where the ECB is triggering the question, is this not an asset management kind of deal? So that's the discussions we're having. And then on the impact, what -- the reason -- the numbers you mentioned is because I consider -- you consider this as a one deal which is the acquisition of AXA IM. What I mentioned, you should see the transaction we agreed on with AXA is basically consisting of 2 deals. There is, on one hand, a deal on a long-term transaction that we have with AXA. And on the other hand, the acquisition of AXA IM. So it's 2 different deals. And if you look at it, that's how we come to a step-up of 10 basis points, if this would be applicable.
Tarik El Mejjad: So the 10 basis points is a fully loaded impact. There's no 2 phase impact where an additional...
Lars Machenil: No. The 25 turns into 35, if you apply what I just mentioned.
Operator: Next question is from Delphine Lee, JPMorgan.
Delphine Lee: So I've got two. First of all, thanks for your comments earlier on loss on the Eurozone revenues that are still on track for the 3%. But can you maybe just elaborate a little bit more on the momentum that you're expecting, more for the second half of the year? Are you expecting more deposit volume as well, not just the stabilization of the deposit mix? Just wondering because the NII, it is a clear slow start with minus almost 4% in Belgium and Italy, and it's only flat in France. So just trying to understand a little bit what is the expectation for NII within that revenue growth of more than 3%? And the second question is on Personal Finance. I think you had a target of growth for core Corporate Finance of more than 5% for revenue growth. And the start of the year is 2%, but are you also expecting an acceleration? And is that acceleration related to volumes if you could just -- or improving margins? If you could also elaborate on this, that would be great.
Lars Machenil: Delphine, thank you for your questions. So yes, in the Eurozone. So if you look at what are the main drivers -- or let's put it this way, what are our hypothesis with respect to getting to 3%. On one hand, we suppose that the deposit mix is to stabilize, yes. And we see that basically in France, it has stabilized. It is stabilizing in Belgium. But we expect -- so the allocation between side deposit term and so forth is stabilized. That is the basic thing that we assume. So that is then going to drive the pickup in the rest of the year. Moreover, we anticipate not then on deposits, but rather also on the other side of the balance sheet that we can continue to reprice. And then thirdly, as you mentioned, we have this excess in deposits that we will redeploy at the longer term. So that are basically the 3 drivers that give us confidence that we'll get to a 3% increase year-on-year within the Eurozone banks. And then on the Personal Finance, yes, we stick to the guidance that we've given for the Personal Finance core of 5%. It is in this quarter, 2%. Let's not forget, I mean, a lot depends on the evolution of the rollover of the business. On average, I oversimplify, but the majority of the business has been originated within the year. And so the repricing that is going on, that repricing is what we will see in the rest of the year. So that is why it's that pivotal point that you start now, but that we will see that will pick up during the rest of the year. So that, Delphine, would be the 2 answers.
Operator: Next question is from Giulia Miotto, Morgan Stanley.
Giulia Miotto: A couple of questions from me as well, please. So the first one, we have seen some market, let's say, dislocation or a lot of volatility at the beginning of April, post the Liberation Day. How has this impacted BNP business, if at all, I would say, both from a volume perspective in terms of trading, but also from a corporate engagement? That's the first question. Secondly, I know you provided the impact to a parallel shift in the curve, but how should we think about the impact of steepening? I don't know if you have any sensitivity or if you provide any sensitivity to, let's say, a 50 basis point steepening of the curve. And then if I can just go back to the AXA IM transaction. In order to extract the synergies with your asset management business, I guess, you would have to book the AXA IM in Asset Management. But I don't know how that works if you get the Danish Compromise. So if you can perhaps expand on how the decision to get or not Danish Compromise would impact your ability to extract synergies with your Asset Management and Cardif as well?
Lars Machenil: Giulia, thank you for your questions. If you look at -- we don't give any intra-quarter kind of update. But what I'll take is, I'll read your question and basically what we see in the market and then you can assume that we continue to have a fraction of that market. So what we basically saw at the beginning of April is that in the market, the volumes -- the demand for volumes were higher. So as there are many changes, and then there are changes on changes so that leads to a lot of volatility. That is basically what we saw in the transaction. So that means there was a lot of volatility when it came to equities and also some other currency-related activities. And then at the same time, that volatility led on the side of the corporates if then I think of, let's say, eventually acquisition and the like, we saw a bit rather wait and see. So that's basically what we saw in the market. Then on the curve, the curve is indeed what we have given is that there is a parallel shift, and we basically said that, that sensitivity is wherever the rates are between 1.5% and 3.5% is a bit what it is. Then if it goes into the steepening, we haven't given any numbers, but yes, I agree with you that if the yield curve steepens, that is intrinsically a positive effect. And when it comes to AXA IM, listen, intrinsically, the Danish Compromise, as I mentioned, is considering -- it's an insurance to insurance deal. So it basically is the activity of AXA the insurer going into Cardif. If at that time, one would merge also the asset manager into that environment, that would remain that kind of deal that would allow us to capture the synergies. So there is nothing else to say on that, Giulia.
Operator: Next question is from Jacques-Henri Gaulard, Kepler Cheuvreux Chevron.
Jacques-Henri Gaulard: Just two very quick ones. On your Slide 13, on the cost base. Obviously, you had your savings of EUR 190 million, which corresponds roughly to a 2% gain on the cost growth. So it's 4% year-on-year, would have been 6% without that. Is it a good way to look at it for the full year? And lastly, on the interest rate sensitivity bouncing back, as we're trying to look at reasonably worst-case scenario, intuitively, you would be better protected than others if the monetary policy of the ECB was to become deflationary, i.e., interest rates going back to 1%. Would you agree with that in terms of your own ability to actually sustain that?
Jean-Laurent Bonnafe: So on the cost base for the year, the guidance is basically 2, 2.5 points, knowing that top line is 4% away from external growth. If you look at the first quarter, what some specific, I would say, impacts, one coming from the extremely high results from global markets. So we had to book, I would say, variable compensation. Second, Turkey and inflation and the perimeter effect. So -- and the currency effect globally. U.S. dollar in the first quarter is extremely high on average. So all this is around 1.5 percentage points. So in reality, the first quarter is just 2.5. So it's just the same. And you will see progressively through the year the normalization and ultimately, at year-end, we should be at 2.5, even slightly lower than 2.5. So this is the first element. Of course, if ECB were to hope for something slightly more aggressive in terms of decreasing short-term rates, looking at the diversification of our model, we are going to be, I would say, favored by this evolution. Obviously, Personal Finance, Arval would benefit very rapidly from such an evolution, but also our domestic banks in the Eurozone. They're fixed term rates for mortgages and the steepening of the curve would be even, I would say, higher. So in the two dimensions, we should get additional support in terms of margins, both in the specialized factories, Personal Finance, Arval and the Eurozone domestic banks. So in a nutshell, yes, the new scenario is probably much more in favor of business model like CPBS compared to other, I would say, floating rate type of domestic banks.
Operator: Next question is from Joseph Dickerson, Jefferies.
Joseph Dickerson: Just on the CIB, to reask the question Giulia asked a little bit. Just in terms of engagement with customers since the 2nd of April, is there any color you can give in terms of the nature of queries from the corporate base, either as regards the U.S. or as regards future Savings and Investment Union, which perhaps help corporate lending and corporate securitizations. That would be very helpful. And similarly, on the CIB, one of the benefits in addition to your own investments in the -- particularly in prime services has been that some of the U.S. banks were hitting up against their SLR constraints. Do you see any -- do you see that playing field shifting a little bit if the -- some of the proposed changes to the SLR in the U.S. go through that would favor maybe the U.S. banks? Any thoughts on that? And then lastly, on French retail. Are you -- did you kind of pull away consciously from mortgage production in the first quarter? Is this just something that's being a little bit more deemphasized in the context of some of the broader strategic initiatives elsewhere in IPS because it looked like actually all lending was kind of down year-on-year in France, but in particular, mortgages? Is that something you're backing away from? And how should we think about that as impacts NII going forward in that business?
Jean-Laurent Bonnafe: Well, looking at the, let's say, the corporate universe, especially large caps and the mid-caps, the fact is those companies, they are assessing the situation. If they are global, clearly one way or the other impacted by the new environment. The fact is that you don't know what's going to be the final endgame, you don't know. So you can assess. You can have scenarios, you can rebalance a little bit, you can adapt the level of investments. You can -- but for the time being, I would say there is nothing that is really new. What you can see is that, on average, companies, corporates are going to invest slightly less than anticipated. They're going to onboard slightly less, I would say, newcomers. So globally, this will have a kind of global impact on the global economy. If you look at the most recent provision, I mean, this is going to impact the global economy between 0.5 percentage point up to 1 percentage point in the 12 months to come. So this is a hit the global economy is going to suffer. A large part of it is going to take place in the U.S., another part in emerging countries, obviously, and a bit of this within the Eurozone and within Asia and China, in particular. So this is the situation. This is more kind of macro impact than something that is, I would say, precisely having specific consequences on certain sectors. Then, the day we have a more clear picture, well, those companies probably will rebalance their business model one way or the other because they will have no choice. But it's too early to say. For us, looking at the risk profile as said in the presentation, that's 78% close to 80% of our books are, I would say, extremely well positioned in terms of rating. They are excellent. So those companies, they are able to rebalance, able to invest, able to move. Probably, there's a lot to come in terms of restructuring, refinancing, deleveraging merger and acquisitions and so on and so forth. So I'm not saying this is an opportunity for us because this is a situation that globally is a bit bumpy. But obviously, there is a lot to come, especially in Europe because Europe is going to reinvest massively. That is, basically, Europe has no choice but to reinvest. So not only the risk profile and the ability of most of our large corporates -- large counterparts to redeploy is nice because we can support them in any dimension. And second, most of this will take place in Europe. So also for us, it's a potential. Well, all in all, I would imagine that maybe not in the coming months, but in the 2, 3, 4, 5 years to come, there will be much more focus to deliver throughout Europe and in between U.S., Europe and between U.S., Asia for all that nice franchise we are having and we have accumulated through the past 10, 15 years. So it's rather a positive situation for us. And of course, we can support those companies in so many different dimensions, including, I would say, financial markets and so on and so on. So well, we're patient. We stick to our risk policy, of course. We are very -- I would say, we keep eyes open. But probably, there's a lot to come. On mortgages, I will leave it to Lars.
Lars Machenil: Yes. So there's mortgages and then there is the leverage ratio when it comes to prime. So I'll take that one first. So indeed, on prime brokerage, the "prudential constraint", because it hardly consumes any capital, is the leverage ratio. So if indeed, in the U.S., there is a review of the whole regulation and therefore, also the supplementary leverage ratio, you could be tempted that for them, there is less of a constraint. However, if you look at the day-to-day what is basically the constraint is the ones who are using prime brokerage. And for them, it's basically the counterparty risk. So they basically need different players to be in line with a counterparty exposure. And on the Atlantic side, in the U.S. side, you have several options to offer the full flavor, whereas on Europe, you don't. So -- and that is one of the key drivers also for us stepping up market share. So we feel that we will continue to be well positioned. And when you look at mortgages, in mortgages and particularly in some of the areas, we are indeed focusing, in general, on profitability. And if the mortgages are not necessarily where they have to be in profitability, we will, therefore, reprice and eventually have somewhat of a lower market share. That's the stance we have always taken. And so in some moments when the pricing is right, we participate fully. If the pricing is less appropriate, we are a bit more conservative. So Joseph, that will be our answers.
Operator: Next question is from Flora Bocahut, Barclays.
Flora Benhakoun Bocahut: The first question I wanted to ask you is on cost because I saw in the pre-Q1 information note that you published 2, 3 weeks ago, there was a mention in there of potentially additional cost beyond the EUR 400 million usual run rate for restructuring, IT and application costs because of the acquisitions that are coming this year, especially obviously AXA IM. I know the deal is not yet closed, so I guess this is something you want to discuss more in Q2. But this combined to obviously the cost-cutting plan you have in Personal Finance and in CPB France, I just wanted to ask if you can at least give us a kind of magnitude of how much potentially more cost there could be? I understand this is a one-off, but are we talking like potentially another EUR 200 million, another EUR 400 million because actually, the run rate was much more than EUR 400 million the past 2 years. The second question is on capital. I wanted to ask you about FRTB simply because, obviously, you target 12.3% CET1 at the end of this year, at the end of next year. Supposedly, as of today, FRTB is still costing 30 basis points to BNP. So have you had any news on this, how the European authorities are thinking about it? I think there's a consultation phase that started in March. So anything you can give us on the time line, any deadline we need to have in mind. Any progress that you feel is being made would be helpful.
Jean-Laurent Bonnafe: On the FRTB, clearly, I would say, the European level has progressively changed its approach and probably the idea to implement the FRTB but in a more neutral way. So it's too early to say technically exactly what that means. But this is basically the new approach. There were a number of public communication around the FRTB recently, and one of them is do not, I would say, refrain European banks that are involved in financial markets because of the FRTB at the moment in which, obviously, the U.S. universe is not going to implement. So there is a consultation being launched. It was launched 2 weeks ago. Clearly, it's new. And probably before year-end, you will get the result. One, could be a new year in terms of postponing the implementation. Probably this is the first step. And in a parallel way, a new approach to implement so that the final impact could be, to some extent, neutralized or minimized. So probably those 30 bps add-on can not only maximum, but probably more than the ultimate impact, but it's too early to say. So this is the evolution we are seeing at the European level. So implementing but probably in a way that is much more neutral than the current approach, the previous approach.
Lars Machenil: Yes. And for -- on the cost, indeed, it is just a tad too early. I mean as long as we haven't closed, we cannot go in and shine light on what we would do. So we will give you some update after the closing. And so update on one hand, what kind of costs it would be and eventual to what degree we could offset it with capital gains. So we will have to see. But it is not something which should weigh on our overall outlook.
Operator: Next question is from Andrew Coombs, Citi.
Andrew Coombs: I just had one on jaws and cost plan and the second on IFRS 9 and cost of risk. So the first question on jaws. If you look at your group jaws year-on-year minus 0.2%, operating division jaws plus 1.9, obviously, given some of the corporate center distortions, which are outside of your control on ALM and fair value movements. So when we think about the 1.5 point target, do you think about that at a group level or at an operating division level? That's the first part of jaws question. The second part would be that I'd imagine markets both in Q1 and probably April 2 have been much stronger than you would have budgeted on at the start of the year. It looks like you've elected to reinvest some of that strength in support of growth. So is that the mindset given it's a jaws-based cost target, you will take the revenue strength in CIB and some of that will be used to reinvest in the franchise? And then a separate question on IFRS 9, and we saw JPMorgan with a slightly higher weighting with downside scenarios in light of the economic uncertainty. Nordea did something similar last week. Could you just talk us through your thoughts on the scenario weightings under IFRS 9?
Jean-Laurent Bonnafe: So the jaws, I mean, the 1.5 target is at group level. This is a group level. This is for this year and next year. And this is a cornerstone of our ability to grow the return on tangible equity. So this is not only operational division, this is group level. Through the cycle, most often it's just the same at the operational level at group level. But looking at a certain quarter, it can be slightly different, especially this one. But the target is at group level, for sure. Looking at CIB global market. On one side, the platform is gaining market share. This is for sure. This is the momentum. Any time the cycle is more favorable, you can grab additional market share. This is the way it goes. So for sure, if you look at the first part of the year, it did went that way, not only global market but also to corporate bank and capital markets. So yes, we are continuously investing in that business. And well, it cannot be, I would say, considered like a more, I would say, domestic bank. It's a different type of approach. When it's the time to move and it's time to grow, you need to take the cycle. It's not something you can decide in advance. When the market is there, you have to follow the curve. You cannot just say, I was not prepared to invest or do not have enough people or whatever. I mean you need to follow up and if possible, to anticipate. And this is the momentum we're seeing at CIB.
Lars Machenil: Maybe as one complement, Andrew, on the costs. So indeed, the operating divisions have the jaws that we need. And so the fact that at group level, it is not -- it's due to the corporate center. And what we mentioned is the corporate center a year ago in the first quarter had a positive event that ironed out back to zero for the year. Whereas in the first quarter in '25, it has a negative effect. So that delta weighed on the jaws. However, as we said that those 2 corporate elements over the year will go back to zero, you can clearly see that having the operating divisions with positive jaws will also lead that at the group level. So that's on the cost. And then on the cost of risk and IFRS 9. So IFRS 9 and particularly the models, yes, it depends which bank you look at, depending on which geography it's in and in which business model it's in I'm going to answer with respect to BNP Paribas, so being exposed for a part into Europe and having exposure mainly on the corporate and the affluents. And so what that basically means is you have to take a stab on what the scenario that you're going to face. And so the scenario, as we mentioned, as Jean-Laurent mentioned, is that, yes, there will be impact of tariffs, which will slow down a bit the scenario. But then there are the massive investment that is following from the wake-up call in Europe, that will basically step it up. So for us, before that, we were on a growth rate of around 1% Europe-wide, I mean, and that's basically what we stick to. And now in order, why do we feel comfortable to stick with that is I basically look at the front-loading indicators for the cost of risk. And so for corporate and institutions, I basically look on their "liquidity needs." So if a corporate instead of coming for an investment loan but needs a liquidity loan, that's not a good sign. If a fund has problems paying their initial margins, that's an issue. Today, for clients of BNP Paribas, I don't see this. I don't see corporates coming for liquidity needs, and I don't see funds having initial margin issues. So that is why we basically stand in the outlook of the cost of risk at the IFRS 9, Andrew.
Operator: Next question is from Stefan Stalmann, Autonomous Research.
Stefan-Michael Stalmann: I have two questions, please. The first one on Arval. You disclosed the results from car sales for each quarter last year. Thank you very much for it. Could you also maybe give us a number for the first quarter '25? That would be great. And then beyond the results, the EBA actually created a bit of waves during the early parts of April when they were discussing the dollar-based NSFR ratios of European banks. I was wondering if you could actually give us the U.S. dollar NSFR ratio of BNP. But if not, could you maybe indicate whether your dollar NSFR ratio is higher or lower than the average of the French banks that was mentioned in this report, which was 99%? That would be great.
Lars Machenil: Stefan, thank you for your question. If I can be quick on Arval. So in the first quarter, it's basically EUR 28 million. So you know that we've guided for it to go to basically zero. So you basically see we're just a tad above that. So that's that. When it comes to the dollar base, listen, what I can tell you is that you should not forget that in the end, if you look at our dollar, we have dollar access and particularly on long-term funding and so forth is that we do because that market is very deep. And then moreover, let's not forget, a big chunk our dollar exposure is basically not U.S.-based, yes. There is a lot in Asia, for example, that is also having that. So if you look at our deposit base that we have, it is long. It is -- if you look at it, it's basically EUR 50 billion that we have in the U.S., that is basically covered by the U.S. And then you have a multiple of that outside in -- outside of the U.S. base. So from that point, it's very diversified. It is also diversified over all the terms, and so we feel comfortable with the ratios that we have.
Operator: Next question is from Sharath Kumar, Deutsche Bank.
Sharath Ramanathan: First one that I have is on capital. If I look at the evolution from here, I have acquisitions costing 30 or 40 basis points depending on what the outcome of the AXA deal is, potentially some positive SRT effects coming later in the year. Can you clarify the ongoing sale of noncore Personal Finance would add anything to capital? And is there a possibility that you could be operating at below 12.3% CET1 at the end of the year if we were not to get a favorable enrollment for SRTs? So what is the plan if we were to get more negative surprises on capital? So that is the first one. The second one is on Europe-Med. I mean, if we -- how would you look at the outlook and the sustainability of strong revenues in this division because I believe this is one of the divisions that consistently is being underestimated by consensus. Also, if you could provide any sensitivity of Turkish NII to rising rates, that would be helpful? And finally, a clarification on your USD exposure. I noted the CET1 sensitivity to euro appreciation or rather USD depreciation. Can you also provide the P&L sensitivity?
Lars Machenil: If I go on capital, just to -- I oversimplify the roll forward why we feel comfortable to be at 12.3%. So first of all, so we're at 12.4%. Now imagine that all the deals we are closing or we will close over this summer, like the AXA IMs, HSBC and whatever, imagine that if I round the numbers, it consumes 40 basis points, yes, so we fall to 12%. And then every quarter, we add 10 basis points. So 2x that makes 12.2%. And then we will have 3 quarters of securitization which will add another 10 basis points. So that's basically where we stand at 12.3%. So there is no need for us to sell whatever. So in the run of the mill, we basically stand where we have to be. So we are well capitalized. We are ready. And as we mentioned, we are -- we've guided to be at 12.3% to be ready for if FRTB would come next year and if it could come at 30 basis points. And you've heard Jean-Laurent, well, it's probably not going to be 30 basis points, and it's probably not going to be next year. But nevertheless, we want to be at 12.3%. Then if we look at Euro-Med, I suppose you are probing about Turkey, because the Poland and the Moroccan activities, they are basically in an environment which is "more stable." And so what indeed we saw is that past year in Turkey, which indeed is under hyperinflation. So it is that -- that is reflecting hyperinflation. And that was basically, therefore, driven by the fact that the rates and the inflation were basically on different scales. And then we anticipate that basically, it would come down and that it would gravitate towards 25 basis points. And that is basically what we anticipated. Today, it doesn't look like given the uncertainties that is probably not going to be 25%. It's probably going to stick to something like 35%. So that will be something that on the fringe changes, but that's basically how you should read it. Then if you look at the U.S. sensitivity on P&L, let's look at it this way. It represents the U.S. activities, U.S. dollar activities on the top line represents something like 10%. So I'll let you do the math, what sensitivity is.
Operator: Next question is from Anke Reingen, RBC.
Anke Reingen: I just have two follow-up questions. The first is on capital. So you reiterate the 12.3% in spite of the 10 basis points higher hit from the AXA deal. I'm just like trying to understand what the source of the capital flexibility is? Is it more securitization? Just so we get an idea of to see if there's any more flexibility needed where the source of that generally is? And then secondly, on your -- I understand on the economic outlook, it's all very much uncertain. But when you described the potential GDP impact, 0.5%, 1%, would that already be incorporated in your 2025 and '26 RoTE targets, the lower GDP growth? Or is it all very much to uncertain?
Jean-Laurent Bonnafe: On the 1% impact, but this is a kind of average number. If you look at the Eurozone, we are talking maybe at something that is in the range of 0.3% Our own economic research published last Friday a report moving the growth in '25 from 1.3% down to 1%. This was already 1% scenario internally for our road map in '25 and what they did in '26 ended up at the same level. We picked up already for '26. So I would rather say that we're already having for that '25-'26 road map, a robust, quite prudent scenario. We -- as of now, we do not see the need to go further. And away from that, the rate scenario, we already commented should be even more favorable compared to the initial scenario we were having in mind at the beginning of the year. And ultimately, looking at the CIB platform, not only global market but also corporate bank, there's a lot to do in the context. So it's not going to be immediate, but probably a lot to do and to deliver if that universe should be constrained to rebalance. And to some extent, this universe will rebalance, especially because, I would say, Europe, we will reinvest more in its own perimeter and probably this is an opportunity to us. So looking at the landscape today, we believe that we have already in our road map, the room to maneuver to in terms of targets. There is no need to change our targets. This is why, basically, we are confirming our targets and probably some additional support coming from the rate scenario comparing to the initial of the Europe and probably additional businesses in the global universe of corporate large-cap, mid-caps and probably also financial institutions. So not, I would say, mentioning the fact that this is the first time that we are looking at Europe that is really willing to unlock at least part of the former capital market union. It was just conversation since many, many years, and now we are having a consultation. So there is something that is really moving, and we are ready for that. And even if the first phase is not going to be perfect, I mean there will be something very different, and we are prepared for that. And to some extent, the CIB platforms we built from since many years is basically the platform that is needed in that context. So nothing is for free and nothing is easy. But looking at the economic scenario, looking at the rate scenario, looking at the type of platform we are having in our hands, looking at the diversification, probably yes, there is something that is much more positive for us as a model business compared to, I would say, other type of banking platforms. This is quite obvious.
Lars Machenil: Anke, on your first question on the tools or the toolbox with respect to capital, we will continue to use the toolbox that we have been using over the last 10 years. It is things like securitization. It will be insurance. It will be optimizing through focus. It can be eventually sale of sub activity. So that's the kind of toolbox that we have that we will keep on using and that's why we feel comfortable with our trajectory. So Anke, that would be our answers.
Operator: Next question is from Chris Hallam, Goldman Sachs.
Chris Hallam: So first of all, on jaws. If I exclude Arval, it looks like you did around 100 basis points of positive jaws in the first quarter. And I think you've been pretty clear on the revenue moving parts for Arval. But just through the rest of the year, how should we expect costs to trend in that business? And then also, are there any other businesses within the group where we would expect to see a better run rate in terms of operating leverage or jaws through the next 9 months? And then secondly, on provisioning, as a bit of a follow-up to Andy's question earlier. You mentioned sort of lower growth assumptions for the year for 2025. I think in the UID, you talked about 1.1% real GDP growth for this year. So I just wanted to sort of clarify is it the case that if you -- that you could adjust those growth rates lower without that mechanically leading to a higher cost of risk or a change in the scenario assumptions, i.e., do the specific triggers you mentioned around usage of revolving credit facilities or margin calls, do those act as more of a trigger to an IFRS 9 reassessment than just a negative growth revision?
Lars Machenil: Chris, on your question. So intrinsically, let me repeat, right? So the jaws for the year that we will have at the group level is basically 1.5%. And then that's one hand, the negative effect of the corporate center will basically taper off. That's one thing. Then you also have, as you mentioned, Arval, where the effect of if you look at the result, you've seen the part, yes. So the contribution of the revaluation last year was highest in the first quarter lower in the second quarter and basically tapered off in the third and the fourth. So that one will do that. And then if you also see the evolutions in the networks where our top line will basically further grow, that would also intrinsically go for the jaws that we will see. So that's on the jaws. So intrinsically, it is 1.5%. The dynamics on where it will further improve, as I mentioned, so CPB, Arval and the Corporate Center. And then if you look at the GDP, so the intrinsic, the way to apply it is that you have to look to take a forward model. So you have to assume what the economy will do going forward. And then that economy, you have to apply it on to your book or to your models, yes? So something what you see might be different from a bank in a different region or for a bank with a different setup. So that's basically what it is. And so with what we see, what I mentioned that we saw on the initial margins and the likes for us, makes us, one hand, comfortable that with the clients we have that if there is a growth, is it 1%, is it 0.7%, is it 1.3%? Basically, the moving parts and the fact how we are diversified basically does not make us suppose that the cost of risk will materially deteriorate going forward. So that's a bit the read on this, Chris.
Operator: Next question is from Kiri Vijayarajah, HSBC CIB.
Kirishanthan Vijayarajah: A couple of questions from my side. Firstly, on your trade finance business and drilling down a little bit there. I appreciate some of your comments earlier on the outlook for corporate decision-making, et cetera. But I wonder are there kind of any metrics you can share with us in terms of what's really Europe to Europe within your trade finance business because I think versus some of the more global players, I think that part of your business should be maybe more insulated from trade dislocation perhaps. So just your kind of thoughts there on your trade finance. And then secondly, on Arval, I see you're still growing the outstandings there at a mid-teens growth rate, much faster than peers. And so my question is really, at what point does that growth rate start to normalize? And linked to that, when you take out the used car sales results, how do you see the core lease contract servicing revenue margin evolving, particularly if you maintain that kind of volume growth orientation at Arval?
Lars Machenil: Kiri, I'll start on Arval. So indeed, what you look at is so we are having diversified. So we are in many countries on one hand. On that also, if you look at our revenue streams, the revenue stream is on one hand, financing if I exclude for the moment the retail value, right, that. And then there is the whole servicing around it. And if you look at the overall model that we have, it is very -- it's a very interesting party for our corporate clients. Let's not forget what Arval is basically serving all the corporates for their fleet, for their employees. And so that's basically what we have projected, what we see now 10%. I remind you that we've guided here also at a 7% longer-term growth. So you clearly see that we are well on track to deliver this. And then on your question on trade finance, Indeed, if you look at it, well, we are in particularly European in activity. And what is interesting is that with the interest rates coming down, you would have assumed that, that activity -- the P&L contribution would be going down. But at the same time, given the uncertainties and whatever you have, you see that there is basically higher volumes that are coming over to us. And so that is why, even with the interest rates tapering off, the volumes are higher. That's what you see in Q1, and that's why you see the evolution that you see. So that's a bit the dynamic that you see there on those two, Kiri.
Operator: Next question is from Matt Clark, Mediobanca.
Jonathan Matthew Clark: A couple of questions, please. So firstly, on interest rates on Slide 23, that chart -- the table in the bottom right-hand corner. I'm just trying to understand what that 2.3% for 2025 and 2.2% for 2026 represent. Is that what was embedded in your plans in terms of ESTR rates? Because obviously, that's some way above where forward curves would seem to be now. So just to understand what that number is specifically. Second question, is on the duration of the contracts that you're signing with AXA. And I guess I'm interested to try and work out whether the 20% return on investment in year 4 is still going to be burdened by the amortization of that contract. So economically, there could be a higher return on investment even in that 20% that you've guided? And then final question is just when will the buyback start and what's delaying that?
Lars Machenil: So on rates, yes, your interpretation of the slide is basically there. That is what the assumption. Of course, as we mentioned earlier, most likely, the yield curve is going to be steeper. When it comes to the share buyback, what we have is that we have the approval by the ECB to basically do the buyback. We've clarified that we will do it in the second quarter. I'll tell you a certain morning that we launched it, and you'll see it happening. Sorry, I missed your question on AXA. What was your question on AXA? The duration of the contract. Yes. So what we basically have intrinsically, the contract runs over 15 years. So that's the duration that we go for. And it basically has -- every 5 years, it has a kind of a review in volumes and pricing. But intrinsically, that's the duration of the contract.
Jonathan Matthew Clark: And so am I right to think that the 20% return on investment that you guided for year 4 is still burdened by the amortization of that?
Lars Machenil: No, it's included. Yes, it's included. So everything is in there.
Jonathan Matthew Clark: Okay. But if you didn't have that amortization, it would be a higher return, just to make sure.
Lars Machenil: Indeed. Yes.
Operator: The next question is from Pierre Chedeville, CIC Market Solutions.
Pierre Chedeville: One question, maybe it's a little bit premature, but I was thinking due to the evolution of relationship between U.S. and Asia more globally, not only with China, I was wondering if you see in the future, opportunity for BNP to develop more intensely there maybe to a more difficult environment for U.S. banks, which are very present in this area. Do you think it would be interesting for you to invest more in terms of teams or risk-weighted assets in this area in the coming months? And my second question is maybe a little bit marginal, but I was wondering where do you stand regarding your partnership with Matmut in P and C because we know that Cardif is very strong in life insurance and creditor insurance. But in terms of P and C, you are not very vocal and yet it's a way to develop. So can you tell us about these two questions, please?
Jean-Laurent Bonnafe: Well, around China, we do not see any kind of retrenchment from U.S. banks. Looking at Mainland China, BNP Paribas is involved through a number of joint ventures, life insurance, car financing, asset management. So this is very much the domestic way. We're having good, strong, solid partners. We invest in some equity. We do not have, strictly speaking, risk weight because the funding is local. We are not having the majority. So these are kind of joint venture cooperation that are domestic, locally funded and investment for us for the mid, long term. So it's very much based upon a regional kind of developments. This is nothing that is pan-China, away maybe from the asset management partnership. So it's a local approach. And again, we do not see U.S. banks retrenching. And we are quite satisfied by the quality of those partnerships, the ability to grow and the value we are creating progressively to those platforms that most often we do not control. And there is no -- I say no plan to change this approach that is very much domestic with local partners.
Lars Machenil: On your other question. So indeed, on insurance, it is true that we focus a lot now on the AXA IM deal, which is basically the long-term savings and so on. Of course, that's the partnership we do. But then as you're right, so the non-life part is also an important part that grows. And so here, also, we team up with a lot of partners. And so in France with Matmut, but also in other areas, in other geographical zones, we do this in the partnering and that is what we keep on doing, and we're very pleased with that. If that can be answered -- if I can come back to a question by Kiri because -- and draw the attention that I misunderstood your question. I interpreted your question as transaction banking, but it was basically on trade finance. And so on trade finance, the role, Europe versus U.S., so we are basically 60% of the activities are European based. So sorry for that, Kiri, I misunderstood your question. So operator, back to you.
Operator: There are no more questions registered at this time.
Jean-Laurent Bonnafe: So thank you very much for your attention, and we can conclude the presentation with that last question. See you soon, and we remain at your disposal if you need some clarification on some items. Thank you so much.
Lars Machenil: Thank you all.
Operator: Ladies and gentlemen, this concludes the call of BNP Paribas First Quarter 2025 Results. Thank you for participating. You may now disconnect.